Operator: Good morning. My name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the Integra Resources First Quarter 2025 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the meeting over to Jason Banducci, Vice President, Corporate Development and Investor Relations. Please go ahead, Mr. Banducci.
Jason Banducci: Thank you, operator. I would also like to welcome everyone to Integra's first quarter of 2025 operating and financial results conference call. Before we begin, I would like to note that we will be making forward-looking statements during today's call. I will direct you to the second slide of this presentation, which contains important cautionary notes regarding these forward-looking statements. The cautionary notes can also be found on Integra's corporate website. All dollar amounts discussed today will refer to US dollars, unless otherwise indicated. On the call today, I'm joined by Integra's President, CEO, and Director, George Salamis; Chief Operating Officer, Cliff LaFleur; Chief Financial Officer, Andree St-Germain; Vice President of Finance, Sean Deissner; Vice President, Permitting, Dale Kerner; and General Manager of the Florida Canyon Mine, Greg Robinson. Today we are pleased to provide an operating and financial update for the first quarter of 2025, followed by a Q&A session. With that, I would like to hand the call over to George to kick things off.
George Salamis: Okay, thanks Jason. In November, 2024, Integra transformed from a development stage company into a US gold producer through the acquisition of the Florida Canyon Mine. And in Q1 2025, Integra completed its first full quarter as a producing company. Today marks a real milestone for us and we believe that Integra is now positioned better than ever with Florida Canyon delivering consistent production and cash flow to advance our two heap leach projects, DeLamar and Nevada North. Our strategy is quite simple. Operate efficiently, develop responsibly, allocate capital wisely, and grow the business organically and through tactical M&A. We're building a modern growth-focused gold company in the heart of the Great Basin. Turning to Slide 5, we have highlighted some metrics that underscore our key successes in the first quarter of 2025. The major takeaway from Q1 is that Florida Canyon is doing its job and performing as expected. While there is still a lot of work ahead of us, the mine is currently operating consistently and profitably, adding to Integra's cash balance to support the development and advancement of DeLamar and Nevada North. In the first quarter, Florida Canyon demonstrated consistent performance with total production of 19,323 ounces of gold at site level, all-in sustaining costs of $2,342 per ounce versus the average realized gold price during the quarter of $2,888 per ounce, allowing Integra to exhibit significant leverage to the gold price. During the first quarter, operating cashflow was $16.1 million, leading to a cash balance at the end of the quarter of $61.1 million. This marks the strongest ever financial position for the company, well positioning Integra to execute on all of our major objectives for the remainder of 2025 and beyond without having to return to the market for financing. During the quarter, we were also very busy advancing our flagship development stage DeLamar project. At the end of March, we submitted the updated and refined mine plan of operations to the BLM and made significant progress on the ongoing feasibility study during the quarter, which our newly appointed COO, Cliff Lafleur, will touch on later on in this call. From a corporate perspective, we added three highly skilled executives to the company, each of whom will be instrumental in helping Integra execute on its strategy of becoming a mid-tier coal producer. So, just to touch on some of these leadership additions. So during Q1, we welcomed Cliff Lafleur as Chief Operating Officer, as I mentioned. Cliff played a key role in the growth and success at SilverCrest Metals, ultimately leading to the company's recent $1.7 billion sale to Coeur Mining. Cliff will be instrumental for Integra as we look to optimize Florida Canyon and significantly advance DeLamar and Nevada North. Also joining us from SilverCrest is Sean Deissner, who has been appointed as our Vice President of Finance. Sean is a chartered professional accountant with over 15 years of experience in the mining industry, specializing in financial reporting, corporate finance, and strategic leadership. Lastly, we appointed Dale Kerner as VP of Permitting, who brings deep experience from Perpetua’s Stibnite project, one of the few major gold projects in the US to receive a final record of decision in recent years. These three appointments reflect our commitment to operational excellence and permitting success as we build a leading US gold producer. I will now hand the call over to Greg Robinson, General Manager of Florida Canyon, to provide an operational overview from Q1.
Greg Robinson: All right. Thank you, George. Let's turn to Slide 7, where we've outlined the key production metrics for Florida Canyon in the first quarter of 2025. During the quarter, Florida Canyon produced 19,323 ounces of gold and sold 19,540 ounces at a cash cost of $2,016 per ounce and mine site all-in sustaining costs of $2,342 an ounce. Increased costs during the quarter at Florida Canyon can be partially attributed to a ramp-up of capital spending for pre-stripping activities, higher royalty payments due to the increased spot gold price, and increased tax-related production costs. Gold production exceeded expectations partly due to the recovery and processing of approximately 2,000 ounces of previously unrecovered gold confined within an electrowinning tank as part of a one-time efficiency improvement project. Strong gold production was further supported by the continued ramp-up of solution flow rates through the heap leach pads and the new carbon and column circuit commissioned in late 2024. Mining and ore placement rates were slightly impacted due to longer hauls and lower than expected haul truck mechanical availability, which is being offset currently by truck rentals that have been on site and operating since early May. Planned component replacement maintenance work on the truck fleet is set to begin in the second quarter of 2025. Sustaining capital expenditures this year will include the expansion of the South Heap Leach Pad Phase 3-B for approximately $12 million, which is scheduled to begin in the second quarter and be completed in the third quarter of 2025. We are continuing to reinvest into the mine and allocating the capital required to support a profitable mining operation at Florida Canyon for many years to come. We intend to provide 2025 guidance for the remainder of the year ahead of Q2 2025 results. And with that, I'll pass the call to our VP of Permitting, Dale Kerner, to discuss some of the key permitting achievements at DeLamar during the first quarter.
Dale Kerner: Thank you, Greg. During the first quarter, Integra submitted an updated and refined Mine Plan of Operations or MPO to the Bureau of Land Management for DeLamar. Submission of the updated MPO to the BLM initiates a pathway for the issuance of a Notice of Intent, or NOI, which is a formal announcement of BLM's intent to prepare an environmental impact statement to evaluate the potential environmental effects of the proposed action in accordance with the National Environmental Policy Act or NEPA. The NOI will be followed by a scoping process, which includes engagement with federal, state, and local agencies and the public. Once scoping is completed, the BLM will conduct an environmental impact analysis for the proposed action as well as reasonable alternatives to the proposed action. Through this alternatives evaluation process, refinements to the MPO may be identified that reduce environmental impacts. A draft EIS will publish the results of the BLM's environmental analysis and will be open to public comment for a minimum of 45 days. Public comments on the draft EIS will be addressed by the BLM and the final EIS and accompanying record of decision document or ROD, which may include the BLM's proposed measures to mitigate potential environmental impacts. The BLM's environmental analysis under NEPA, from the Notice of Intent to the final EIS, is anticipated to span two years and represents a rigorous, transparent, and prescriptive permitting framework that guides the federal review of mining projects on public lands. Federal permitting will be complemented by a host of other permits from multiple Idaho state agencies that serve to protect the quality of Idaho's air, water, and land. Integra's recently updated and submitted MPO for DeLamar reflects a significantly optimized and environmentally enhanced line plan, including a more compact project footprint and design modifications aimed at reducing projected carbon emissions and water usage. These improvements were developed through extensive technical analysis, stakeholder engagement, and a focus on the integration of modern sustainable mining practices. I will now pass the call to our COO, Cliff, to provide an update on the ongoing work for the feasibility study.
Cliff Lafleur: Thanks Dale. I'd like to begin by mentioning that one of the reasons I joined Integra was the fact that they had acquired Florida Canyon, making them a legitimate producer, and leaning on my previous experience building and optimizing mines, I saw the potential to work with the team to grow the operation and add significant value over the coming years. The other main reason for joining Integra is the fact that the company maintained exposure to two quality heap leach projects while becoming a producer, including DeLamar, which demonstrated solid economics at the pre-feasibility study level at a clear pathway to obtaining a permit. Since officially starting in my role as COO with Integra a few weeks ago, I've been working closely with the team to get up to speed on the DeLamar feasibility study. Project has undergone some changes since the PFS, such as making it an oxide only heap leach -- an oxide heap leach only project and reducing site power requirements, all in an effort to streamline permitting. Our team is balancing our focus between the attention required at Florida Canyon and making progress advancing DeLamar from an engineering and permitting perspective. We aim to complete the feasibility study in the second half of this year. Look forward to providing updates as we go. I'll now pass it back to George to provide an update on Nevada North.
George Salamis: Okay. Thanks, Cliff. Nevada North consists of two mineral exploration deposits Wildcat and Mountain View. During the first quarter, efforts at Nevada North were focused at Wildcat, which is located approximately 30 miles away from Florida Canyon to the west. The final environmental assessment and finding of no significant impact for the Wildcat Exploration Plan of Operations, otherwise known as [indiscernible], was published by the BLM Humboldt River Field Office shortly after the end of the first quarter. The BLM's review of the EA determined that the proposed action alternative will not significantly affect the quality of the human environment, which is great news. Concurrence from the Nevada State Historic Preservation Office is required to finalize the BLM decision and is anticipated to be received in mid-2025. We also completed necessary preparatory work at Wildcat in anticipation of completing metallurgical and geochemical testing later this year. This crucial test work being completed at Wildcat will support future economic studies and permitting efforts. Over to Mountain View. At Mountain View, an exploration plan of operations and Nevada Reclamation Permit application were submitted to the BLM Black Rock Field Office and Nevada Division of Environmental Protection. These submittals initiate the environmental review and permitting process for those that are required for future advanced exploration activities at Mountain View. Ongoing initiatives at Nevada North support Integra's long-term growth strategy, which involves the de-risking and permitting of its key development stage, heap leach projects. With greater financial resources available to the company, greater than ever, Integra is focused on accelerating various technical studies designed to de-risk Nevada North and advance the asset through permitting. I will now pass the call over to our CFO, Andree St-Germain, to discuss the financial results for the quarter.
Andree St-Germain: Thanks, George. Integra closed Q1 with its strongest financial position to date, with a cash balance of $61.1 million and a robust working capital of $63.8 million, which is expected to fund sustaining capital needs for Florida Canyon, development expenditures at DeLamar and Nevada North, and cover our G&A expenditures for the years to come. The company reported Q1 revenues of $57 million and cost of sales of $41.5 million, resulting in $15.5 million in gross profits, which equates to a 27% operating profit margin. The increase in profit margin compared to Q4 2024 is primarily due to the gold price increase. We realized this quarter an average gold price of $2,888 per ounce. Q1 adjusted earnings were $4.4 million, and adjusted earnings per share was $0.03, after adjusting for impact of the Florida Canyon purchase gain, integration costs, and unrealized loss on their derivatives. The unrealized loss on derivatives is primarily due to the impact of our share price increase this quarter and the value of the convertible loan derivative component. Finally, as discussed by Greg earlier, we saw a slightly increased cost during the quarter at Florida Canyon, which can be partially attributed to the ramp-up of capital spending for pre-stripping activities, higher royalty payments due to the increased spot gold price, and increased tax-related production costs. We intend to provide further details on costs and sustaining capital for the remainder of 2025 as part of formal guidance to be published prior to the release of second quarter results. I will now pass the call back to George to discuss strategic objectives for the remainder of 2025.
George Salamis: Thank you, Andree. So, looking forward, our priorities in 2025 remain clear and we're making excellent progress. At Florida Canyon, we aim to optimize a production, our production, grow cash flow, and execute growth focused drilling and exploration, which we launched last week with a 10,000 meter program. At DeLamar, we submitted the updated and refined mine plan of operations and expect to initiate federal permitting in the second half of this year. In fact, last week I visited Washington, D.C. with key members of our team, along with our board member and former Governor of Idaho, Butch Otter. Among other key meetings we had was an extended face-to-face meeting with the Secretary of the Interior, Doug Burgum, and the Trump Administration's newly appointed head of the US National Energy Dominance Council, David Copley. Following these meetings, along with others with various senators and members of Congress, we feel an increased sense that the current political administration is doing their very best to support new mine permitting and development and also that there has been no other time than right now to be permitting mines in the US. In the second half of this year, we also plan to release our feasibility study for DeLamar, which Cliff and his team are busy working on. DeLamar remains one of our very few large-scale precious metal projects in the US at a feasibility stage and also actively being advanced through federal mine permitting. At Nevada North, we continue to de-risk the project and lay the foundation for future development. We are also focused on continuing to bolster our capital markets profile and investor awareness, leading to enhanced trading liquidity and index inclusion. Integra was recently added to the Solactive Global Silver Miners Total Return Index, marking the company's first index inclusion. We expect to be eligible for several more indices, including the GDXJ over the next 6 to 12 months. From a corporate perspective, we are intently focused on disciplined capital allocation and a longer-term horizon. We will continue to evaluate strategic and accretive M&A opportunities that support our strategic goal of becoming a leading mid-tier gold producer. I will now hand the call back to our COO, Cliff, who will touch on some of his initial observations and ongoing optimization work at play at Florida Canyon.
Cliff Lafleur: Thanks, George. We're pleased to say that Florida Canyon is doing what we acquired it to do, consistently delivering on gold production and generating positive cashflow to support the rest of the portfolio. However, that being said, we continue to work on improving the asset. I'm excited to be working with Greg and his team on finding ways to reinvest in Florida Canyon. One way is through the optimization studies, which are investigating improvements in productivity, cost and mine life. We have several studies underway and work to support them has begun, including but not limited to the mining fleet study, which is investigating, bringing in new pieces of mobile equipment and new mine planning review with the aim to finding value and efficiencies in pit re-phasing, the 10,000 meter growth focused drill campaign mentioned by George, and very soon a geotechnical test drilling campaign to inform a geotechnical analysis with the objective to steepen pit walls. The results from this work and the other studies expected to all be completed in the second half of 2025 will be used to inform a resource and reserve update for Florida Canyon in 2026. We are confident that Florida Canyon can continue to generate value for Integra for many years to come. Turning to Slide 13, George will provide an overview of the recently initiated growth drilling program.
George Salamis: Thanks, Cliff. And as I always say, it always feels good to have drill steel turning in the rock, and that's what we have now. So everybody's pretty excited. So yeah, we're really pleased to have recently launched a growth-focused drill program at Florida Canyon. The 2025 drill program marks the first phase of a multi-year growth strategy designed to expand mineral resources and reserves, extend mine life, and ultimately maximize the value of Florida Canyon. The 10, 000-meter drill program commenced in early May and is expected to conclude in the third quarter with initial results to be released over the course of the summer. The program is focused on testing near-mine targets at Florida Canyon in three different areas. The first opportunity is the near-surface oxide potential from historical dump material consisting of 2,000 meters of RC drilling. Drilling in this area targets large volumes of historical gold mineralized backfill and low-grade waste material previously estimated to be below the mining cutoff grade in a significantly lower gold price environment. These areas demonstrate the greatest near-term opportunity to increase mineral resources and potentially extend mine life. The second opportunity is expanding in its in-situ resources between existing mine open pits consisting of 5,000 meters of RC drilling. Drilling will target saddles and ridges or these areas between active and historical pits. Many of these areas have been sparsely drilled historically and offer meaningful oxide growth potential directly adjacent to the current and future mining phases. The third opportunity is testing lateral extensions and in-pit infill drilling, consisting of 3,000 meters of RC drilling. Drilling will target lateral extensions of existing pits as well as infill drilling within areas planned for further pit pushbacks. Potential has been identified to improve resource classification, optimize mine planning, and potentially increase short-term ore feed. The 2025 drill program at Florida Canyon is expected to support a mineral resource and reserve update and a revised life of mine plan in early 2026. We're really excited to kick this program off and really look forward to sharing our progress over the coming months. This drill program is one of the ways that we are allocating capital to maximize the value at Florida County. So, at this stage, I'd like to end the formal part of the presentation with Slide 14 as it captures our strategy. Production, pipeline, jurisdiction, scale and value. We now generate cash flow to both sustain the portfolio and fund growth. We hold one of the largest inventories of gold and silver in the Great Basin, not controlled by a major mining company. Our pipeline of development projects are being efficiently de-risk. We operate in Idaho and Nevada, two of the best mining jurisdictions globally. And we built a team with a proven track record of execution. Integra is a US gold producer with a growth runway and a clear strategy to become a mid-tier. At this point, I would like to turn the call back to the operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Heiko Ihle with H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey there. Thanks for taking my questions. I assume you can hear me okay?
George Salamis: Yes.
Heiko Ihle: Perfect. I mean, gold's currently at the $3,200, $3,210, and whatever. It's up $800 bucks in the last year. Just a bit of a conceptual question. Have there been any internal changes in what you're mining, exploring, looking at Florida Canyon, given the sharp increase in gold pricing today? Because it's probably not really where you expected to be when you first started looking at the asset. And if so, what has changed and what's actually going on versus your expectations, please?
George Salamis: Yeah, Heiko, thanks for that question. So I think the best place to start off with would be the focus of the exploration program that we alluded to in the course of the Q1 call. We alluded to the fact that a fair bit of this exploration, a fair chunk of the 10,000 meters of drilling will be allocated to some of this historical dump material, right? While that material did not make cutoff back in the day due to lower gold prices, that material now makes a lot of sense for us to look at. And volumetrically, there's a lot of that material. Sitting in piles, used as backfill in some of the historical pits, et cetera. So, that's one of the ways where the improved gold price allows us to look at things like that. Other initiatives, obviously from a metallurgical optimization perspective, the higher gold price affords us to maybe look at other opportunities with respect to run of mine heap leaching as opposed to crush ore heap leaching. There are a bunch of things like that, Heiko, that the higher gold price can afford us to look at right now.
Heiko Ihle: I figure we'd be getting an answer along those lines. Building on all of that, we've also seen a decent amount of cost inflation in the mining space and you're playing some pretty meaningful capital expenditures outside of heap leach pads, expansions, mining fleet additions, pre-stripping, I mean, you name it. Any way for you to provide some granularity with where costs are actually coming in and availability and all that good stuff versus what you had expected? And maybe more importantly, anything you want to point out that's not as you expected it to be?
George Salamis: I think the best person to answer that question would be Greg Robinson, the General Manager from site. Greg obviously lives this day-to-day operationally, and he can opine regarding cost inflation at site. Greg, do you want to tackle that one?
Greg Robinson: Yeah, I can take it. So, I mean, there's been no big surprises for us here. We are feeling pressures in some areas and whatnot, but nothing that other companies and other mines aren't facing as well. The biggest thing, kind of like we said for Q1, there's a few kind of smoking gun cost drivers that have temporarily elevated our mining costs a little bit in the form of capital pre-stripping. We're up in the higher reaches of the mine and a couple of pits, and we need to drive through some waste to get at the higher grade ore there, and that means we have to put more money into hauling that waste off. And so that's one of the biggest things. There's also been some text things associated with the sale and the transition of companies that we've had to account for in Q1. And so, yeah, just a few things. I mean, nothing really out there or completely unanticipated, but it is affecting us in the short term. I think when we release our guidance here later right before the Q1 or Q2 results, you'll get a little bit more color on the different cost drivers, but that's what we could share right now.
Heiko Ihle: Yeah, that's quite helpful. I appreciate it. I'll get back in queue.
Operator: Our next question comes from the line of Phil Ker with Ventum Financial. Please go ahead.
Phil Ker: Thanks, operator. George, you started to touch on the run of mine opportunity. I was just curious maybe what spurred that option? Was it limited to certain units, lithological units that is, and were it only available in certain pits at the mine or was it a subject to the rising gold price and would you see this sustainable moving forward?
George Salamis: Yeah, thanks, Phil. So I can say that the transition to more run-of-mine heap leach gold processing really sort of started in earnest three years ago, right? If you look at the long-term production profiles of the last 10 years, now that's when run-of-mine mining kicked in and maybe I'll let Greg hop on the decision to go to that. I can kind of state from a geological perspective that the geological differences between run of mine ore and crushed heap leach ore are very subtle. And our job over the next year is to understand what makes run-of-mine ore run-of-mine ore versus crushed ore, because visibly there's not a lot of difference between the two of them. We suspect that there's a structural component to -- that forms the difference between those two types of ore, but it's pretty subtle but meaningful because if we can open up more of those areas to run a mine heap leach processing, that opens up a world of opportunity for us as a company.
Phil Ker: Yeah, and the increased, I guess, ore you're seeing, could you refresh us on your crushing capacity and what levels you're seeing today? And if you're having excess run of mine, would you require further crushing circuits?
George Salamis: Yeah, Greg, I might pass that question over to you. Again, you live that day to day.
Greg Robinson: Yep. Yeah, so we're currently planned month in and month out to crush about 600,000 short tons a month. The crusher is actually outperforming that and has for quite a while. So in Q1, we crush closer to 750, 000 tons a month. So that's kind of a view of the scale of our crushing. And then run of mine, we typically run about the same amount of run of mine, maybe a little bit less, just depending on what ore is in the pit and what grades. But that's kind of the view of production. And as George said, we're looking at a lot of different options, not just going to an all run of mine scenario. We're looking at crusher expansions and that kind of thing as well. So, it's way too early to tell what kind of routes we'll head there. It's -- we've got to balance our costs and our capital infusion and see what generates the most value. So that's kind of a little bit more color.
Phil Ker: Understood. So, yeah, still evaluating the options and going through the optimization process.
Greg Robinson: That's right, Bill.
Operator: Yeah. And just on the sustaining CapEx, I know you're evaluating mine equipment replacement and so forth. Where are we at with scheduling on some of these larger purchases? And we're already through halfway Q2 here. Is it something that's more weighted and focused on Q3 or later?
George Salamis: Yeah, Greg and team have done a very thorough job at studying the fleet and the fleet alternatives. And I think that there were sort of 10 to 15 different iterations of what we could do, what could be done with that fleet that involved sort of maintenance on some of the fleet and maybe a combination or a mix or hybrid view of a bit of maintenance plus some new equipment. That -- those studies, I guess, will come into kind of fruition here in the second half of the year. Greg, I don't know if you've got anything to add to that.
Greg Robinson: No, not really except that as you said we evaluated a lot of different options. Everything was pretty much on the table and we did a lot of homework, and now we're just kind of in the final analysis and compiling all that into a final recommendation that we can hopefully go ahead and kind of settle on the end product and place some orders and put it into service.
Phil Ker: And George, you think we'll have more clarification on scheduling of deployment of this capital when you provide guidance, I guess, in June?
George Salamis: Yeah, most definitely, Phil. And the fleet will be kind of the top of the list of things that we'll be initiating in the second half that will require capital to be deployed for sure. But we're coming to some pretty quick conclusions on that. And yeah, yes, we will talk about that in our guidance before we put out Q2 sometime towards the end of June.
Phil Ker: Okay, very good. And then last one on permitting, George. In your discussions in Washington, did you get a sense of urgency surrounding permits or just advancement in new projects in general across the US? And just under this, under Trump's presidential regime, I'm just curious if there's just some sort of urgency, maybe even prior to midterm elections that could impact the approval of whether it's DeLamar or other projects across the country?
George Salamis: Yeah, that's a great question. And the answer is yes, there's definitely a sense of urgency that we picked up on during our days in DC last week. I can't say that the Trump administration, it clearly wanted to develop more mines and permit more mines. Never once did it come up anything to the extent that they want to cut down on the amount of environmental study work that's involved in your typical NEPA process, for example. There's no talk of that. What they do or did address with us consistently from one office to the other was, their intention is to keep permitting moving through the pipeline. In other words, to not have it derailed by excessive turnaround times, response times from government offices, be it either at the state level or at the federal level. Their view is where things have hung up in the past have been in those turnaround time delays that the government has been, or the regulators have been responsible for, and they've committed to really strict, well-defined timelines now. And that was music to our ears. I've never heard anything, as you know, Phil, I've worked in different parts of the world, permitted different mining operations. I've never heard that kind of level of consistent commitment from one office to the other during the course of a visit. So yeah, that was music to our ears for sure.
Phil Ker: Okay, that's great. Looking forward to being on site in a few weeks. Thank you.
Operator: [Operator Instructions] And our next question comes from the line of Ingrid Rico with Stifel. Please go ahead.
Ingrid Rico: Hi, good morning, George, and the Integra team. Thank you for hosting the call and congrats on your first full quarter of being a junior producer. A lot of my questions have been asked by [indiscernible] to people, but I guess I'll ask a little bit more on the operational and dig a little bit more, recognizing that there's no official guidance quite yet. But something that was notable, I guess, on Q1 was strong production, but the grades were a little bit lighter than what it was last year and what you guys have been disclosing on a technical report. So how do we think about that production side of things for the rest of the year. And then on Greg's comments of, there were some sort of temporary elevated costs in Q1. What are sort of the levers for the remaining quarters on those sort of operating costs that could see that being slightly better than Q1?
George Salamis: Okay, thanks, Ingrid. And, Greg, I think you're well up the curve with respect to the grade ranges of material you're mining now versus what you plan to mine grade-wise in the second half of this year or this quarter leading into the second half of this year. So, Greg, over to you.
Greg Robinson: Yeah, for sure. I mentioned that we were starting to develop some pits in the upper reaches of the mine. We have to drive through some ways to do that and you know we are hitting some ore along the way that ore tends to be a little bit lower grade and as we start hitting more and more ore in those pits, as we get deeper in those, the grade will begin to improve over time. We do expect to be in better grades in the second half of the year. But it'll take a little bit to develop some of those. So overall, yeah, we've seen a little bit of a dip in grade. It started really late last year, but it's all because of this, because we're just developing newer pits. And it just takes a little while to get it kind of into the heart of the ore in those areas.
Ingrid Rico: Okay. That's excellent. And I guess my next question just touching on the permitting and it's great to hear, George, the developments there both at DeLamar and Nevada North but just mostly on Nevada North would be my question. So you answered the last question about the turnaround times and that commitment from sort of the state level on improving that. Maybe some thoughts on that and maybe what’s sort of the plan there to hit on the exploration this year next year for Nevada North?
George Salamis: Yeah, so with respect to permitting at Nevada North right now, the last hurdle, if you will, with respect to receiving our exploration plan of operations, which is you might recall Ingrid, would allow us to do a lot more on the ground without being sort of restrained by the 5 acre disturbance rule. That's currently sitting in an office at an office level at the state level called [SHPO] (ph), which is basically the historical resource group, if you will, that basically approves cultural studies that have been done on the project. And that file has been sitting there for a while. It has nothing to do with the validity of the file. It's been reviewed and picked over with comments received and responded to. The reason why it hasn't really gone anywhere is that up until very recently there's been nobody leading that charge. There has been at that particular office a hollowing out, if you will, of personnel to review files. So we're encouraged by the fact that they are jumping back in on that file to retake control of that. Regardless, there are things that we can do at Nevada North to de-risk that project. It's a great project. Obviously, we're viewing it more or less as an extension of Florida Canyon due to its proximity. There are things that we can do to de-risk the project to take it from PEA to PFS, but things that will also help with respect to environmental permitting. For example, when we talk about geochemical sampling, that's, as you know, humidity cells, you have to do them to basically assess the level of acid generation that could or could not occur. That sort of test work we can do without waiting for an exploration plan of operations. We can do that sort of thing. Through the fortuitous nature of producing gold right now at Florida Canyon providing more cash to us, we have the ability to do a lot more at Nevada North than we thought even six months ago. Things like that geochemical sampling, things like metallurgical drilling, things like hydrogeological drilling, things like that that will feed into both permitting and a PFS study at Nevada North. We didn't think we'd be able to do that this year. Now we're very clearly on a path to do that work in the second half of this year.
Ingrid Rico: Okay, understood. That's great. And just quickly, if you can remind me, so the exploration plan of operations, once you receive that, do you have to continuously keep doing those for continuing to do the drilling and de-risking or is this the one that we need -- we will have kind of a path for that for Nevada North?
George Salamis: Yeah, so I guess the good news, Ingrid, is if you recall from the PEA, a large measure, and I'm going to say, I'm going to throw a number out there, 90% of the other resource that was used in the study was M&I category. So there's not a lot of resource conversion that needs to happen there. We will have to do some drilling and obviously having an exploration plan of operations will help that, but that's not a major campaign. Same for hydrogeological drilling, same for metallurgical drilling, all of that. That's not a big cost. So, the expectation is that work will get started sometime this year and we can really sort of run the -- start doing the baseline study work that's required to advance the project in an expectation of getting that project permitted through an EA as opposed to EIS. We'll see about that one, obviously, but that's our intent still.
Ingrid Rico: Excellent. Well, thank you for that. And also looking forward to that site visit to [indiscernible].
George Salamis: Thanks, Ingrid. We'll see you in a couple of weeks, I guess.
Operator: And there are no further questions at this time. Mr. Salamis, I'll turn the call back over to you.
George Salamis: Well, great, thanks. And I'd like to thank everybody for attending the call. Obviously, we're all excited here over at Integra. We appreciate the support from our shareholders. We really look forward to providing other formal updates going forward. Obviously the next big one will be guidance. Along the way, there are other things that the news flow is going to be pretty fast and furious here coming up for the balance of the year, be it guidance, be it expiration results, be it other things to do with permitting at DeLamar, for example. So we're really excited. And just sort of last but not least, don't hesitate to reach out to either myself or Jason Banducci or anybody at the Integra team if you have any follow-up questions whatsoever. There's a facility on our website that you can use to schedule a meeting with senior management here to ask any questions that you might have. So we're always happy to hop on a call with anybody. And on that note, thanks everyone.
Operator: That will conclude today's call. Thank you all for joining. You may now disconnect.